Operator: Good day, ladies and gentlemen and welcome to the AMERCO Second Quarter Fiscal 2021 Investor Call and Webcast. All lines have been placed on listen-only mode and the floor will be opened for your questions and comments following the presentation. At this time, it is my pleasure to turn the floor over to your host for today, Mr. Sebastien Reyes. Sir, the floor is yours.
Sebastien Reyes: Good morning and thank you for joining us today. Welcome to the AMERCO second quarter fiscal 2021 investor call. Before we begin, I'd like to remind everyone that certain statements during this call, including without limitation, statements regarding revenue, expenses, income and general growth of our business may constitute forward-looking statements within the meaning of the Safe Harbor provisions of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended. Forward-looking statements are inherently subject to risks and uncertainties, some of which cannot be predicted or quantified. Certain factors could cause actual results to differ materially from those projected. For a discussion of the risks and uncertainties that may affect AMERCO's business and future operating results, please refer to Form 10-Q for the quarter ended September 30, 2020 which is on file with the US Securities and Exchange Commission. I'll now turn the call over to Joe Shoen, Chairman of AMERCO.
Joe Shoen: Thanks, Sebastien. Good morning, everybody. As you can see from what we press released, we had bang up results for the quarter and the more modest results for the six-month. We have weathered significant adversity, we guarded our cash and we kept our team intact. These COVID-related events will be felt for at least two years as we get knee rotation and real estate CapEx on track. As Jason will explain, we put off 18,000 to 20,000 scheduled vehicle replacements and we cut back about or delayed 1 million square foot of storage development. Throughout this time, our banks and insurance company lenders have supported us well. I trust our performance continues to meet to merit their support. We are now seeing a wave of demand that is driving our top line growth. We are attempting to earn these customers continuing repeat business. We are in a better position than I thought possible last March. We have a good team in place and I look forward to further success. With that, I'll turn it over to Jason to go through the number.
Jason Berg: Thanks Joe. Yesterday, we reported second quarter earnings of $13.58 a share that's compared to $7.97 a share for the same period in fiscal 2020. Throughout my presentation, I'm going to have all my comparisons will be with the second quarter of this year compared to the second quarter of fiscal 2020 unless otherwise noted. During the second quarter, we've seen an increase in customer demand for our self-moving products and services. I believe that as various levels of government have eased restrictions as compared to the first quarter and as our customers across North America are adapting to the challenges of COVID-19, economic activity has improved. Equipment rentals saw an increase of nearly 16% or approximately $127 million. This quarterly increase has also brought us now positive for the six months of the fiscal year for U-Move revenue. In comparison to the same month last year, July was up 11%, August was up 14% and September revenues were up 24% we've seen this growth in U-Move revenue now continue for the month of October. Compared to the same period last year, we've increased the number of retail locations, independent dealer's box trucks and trailers in the rental fleet. Capital expenditures on new rental trucks and trailers were $395 million for the first six months of this year; now that's compared to $1.37 billion for the first six months of last year. While our original plans did contemplate a decrease in fleet spending for fiscal 2021, compared to the year before this is more than what we had planned. At the onset of COVID-19, we back our capital investment in both our fleet and real estate in order to preserve liquidity. Our measures were coupled with manufacturer delays. These actions are effectively pushing out fleet CapEx necessary for the normal rotation of our fleet. Over the next 18 months to 24 months, we're likely to see increased spending on fleet which is going to eventually lead to an increase in depreciation. Our expectation for net fleet CapEx in fiscal 2021 has dropped to around $430 million largely due to timing, but there is still much uncertainty to this projection. Proceeds from the sale of retired rental equipment decreased by nearly $87 million to a total of $310 million for the first six months. During the first quarter, sales decreased from commercial auto auctions these are now open and we're experiencing higher resale values, but we've slowed sales while we wait for new truck deliveries. With regards to self-storage, we continue to have success filling rooms. Looking at our occupied unit count at the end of September, we had an increase of 53,800 occupied rooms compared to the same point in time last year. During our last earnings call, I reported that our June over June growth was 41,700. So the pace of filling rooms has continued to accelerate and continues to do so into October. Revenues for the quarter were up about $10 million or 10%. For the first time in several years, our all-in blended occupancy rate for the quarter experienced an increase. I think this the first time that we've seen an increase in this since March 2015. This is a result of the increased pace of filling new rooms and also partially to a slower rollout of new rooms. So far, for the first six months of this year, we've added 17,000 new rooms, while last year at this time we'd added 43,000 rooms for the same six-month period. This is related to our capital expenditure spending for real estate. For the first six months, it was $226 million that's down from the first six months of last year when it was $423 million. Both the pace of acquisitions and construction has slowed during the first six months. Retail sales increased $25.5 million, that's about a 35% increase for the quarter. All three of our major product lines, moving supplies, hitches and towing accessories and their installation and propane refilling reported gains; these lines are continuing to improve in October. Operating earnings in our Moving and Storage segment increased by $145 million to $374 million. I wanted to touch on a couple of the expense highlights; first depreciation expense associated with the fleet decreased by about $11 million for the quarter. So, we had expected depreciation expense to slow this year, but it's happened a bit sooner than what we expected due to the delays in new production over the last half of this year, we should see that decrease begin to add, but then likely increase for fiscal 2021. Operating expenses increased $10 million, a rate much lower than the growth in revenue. We benefited from flat personnel cost and decreased repair and maintenance costs. In the coming months, we will see some increases in repair and maintenance due to the increased miles driven by the fleet and as we begin to ramp up truck sales. Several of our other categories increased, but to a lesser extent. This includes estimated liability costs, property taxes and shipping costs from our U-Box line. We continue to improve our cash and liquidity position; at September 30 of this year, we had cash and availability from existing loan facilities at our Moving and Storage segment of $1.293 billion. As a reminder, six months ago at March 31 as we were going into the beginning of the COVID-19 crisis, this number was $498 million. From a cash and liquidity perspective, we are much better situated now should COVID-19 related business restrictions worsen. With that, I would like to hand the call back to our operator Jesse to begin the question-and-answer portion of the call. Thank you.
Operator: Thank you. [Operator Instructions] Our first question will come from Steven Ralston at Zacks.
Steven Ralston: Good morning.
Joe Shoen: Good morning Steve.
Steven Ralston: Congratulations on the blow out quarter. Stock's doing very well today. Could you delve a little more into your expansion program? It seemed to be a driver that you had enough capacity to meet the demand that happened during the quarter, but also your -- insinuating that your CapEx has pulled back at the same time, and I'm looking more out in future demand. It seems like; obviously there's been a lot of moving, transitioning of work places that sort of thing, due to COVID-19 and when situations come back to normal, there might be the exact reverse. So, there might be another huge bubble of demand further out in a year ago. Could you delve into that?
Joe Shoen: Sure. We're really excited if that happens. We don't control that, and I don't think we have any particular insight as to it. Of course, any capacity that we build is really work that happened two or three years ago. So, the problem is there is a tremendous lead lag in bringing on more capacity. So we were lucky to have the capacity we did, we still have good capacity and as we go ahead we will probably build that buffer up a little bit, of course we monitor how many rooms we're renting every day by every location. There's always room to do better and I believe there is -- there is room to do better although we're doing as well as we've ever done. Does that speak to what your question is or do you want to talk about the truck rental too?
Steven Ralston: I want to talk both about that Storage and Truck, I assume there is a problem in being able to access supply on the transportation side?
Joe Shoen: Yes, the automakers are still struggling to meet their commitments both to their dealers and their fleet customers, they just -- they have so many suppliers, such a complex web; it's not so simple for them to get this all going again. At the same time, we have kind of a unique situation, which is where is our fleet. Right now basically, you can take the two coasts and Mark them empty and you can mark the center of the country oversupplied, and so that's not where we'd like to be and it's an unusual circumstance. Normally, we have not seen patterns change this radically -- this fast. So we're of course daily trying to figure out how to maneuver to keep the best utilization of the fleet going.
Steven Ralston: Right. Repositioning your fleet; yes.
Joe Shoen: There are so many of you that are in the New York-New Jersey area, we're just simply out of trucks or what we call one-way rentals. If you want to move in the area from one building to another, we're well supplied but for people who want to move to Iowa and there is a bunch who want to go to Iowa, it's a little bit tough, and so we're not able to fill that demand, it's great as it is, it's greater than we can fill but we're working on it every day and of course our U-Box product has is really come into play here -- given us another option for the customer that not everybody who's in our peer group has.
Steven Ralston: Year-over-year what was the increase in the number of box trucks and trailers available?
Jason Berg: We're actually at the end of the quarter, we're down a little less than 1,000 trucks or about 1,000 trucks from where we were last year at this time and that mostly has to do with the pick-ups and cargo van portion of the fleet.
Steven Ralston: So, your usage rate -- your utilization rate has obviously gone up?
Joe Shoen: Exactly.
Steven Ralston: Give a metric on that?
Joe Shoen: We have dozens of them, but it's only meaningful if you get down to a very tight geographic area -- the metric for the whole country -- just kind of like the average health of the country doesn't mean a healthy environment.
Steven Ralston: Right, it's meaningless. Yes, I understand.
Joe Shoen: So, we're driving on all that. We're organized with what we call marketing companies, which we have a 185 of, and then we have inside that we call dealer routes and then centers, so we have about 800 dealer routes and about 2000 centers, so we measure it at that level. Those three levels and then we try to optimize inside of that and some days we do better and some days we do worse obviously. We're of course going into what would normally be our slow season, so we've got overall, plenty of equipment even with the increase in demand through the winter, that makes sense?
Steven Ralston: Yes.
Joe Shoen: In other words, we have lower utilization normally, so we can run the same utilization and do, okay. But we'll see what happens come spring.
Steven Ralston: Thank you very much.
Joe Shoen: Thank you.
Operator: We'll go next to Jamie Wilen at Wilen Management.
Jamie Wilen: Thanks. Excellent quarter fellas. Joe, I wanted to ask you many months ago what the most important metric was in managing your business -- in managing truck rental and you said fleet utilization and obviously this quarter with fewer trucks and volumes of that much the fleet utilization was off the charts. When you look at that number -- when fleet utilization goes off the charts, obviously our income goes off the charts because everything's in motion. So, the previous caller asked about what the future plans are for increasing the fleet. But in the context of greater operating margins, with greater fleet utilization, could I hear your broader term perspective?
Joe Shoen: Yes. Of course, you want to drive on fleet utilization and if you all -- this isn't an SEC number, but over the last 30 years we've probably had a net increase of fleet utilization every year; Jason's not nodding his head or not, but I've contracted with, it's pretty close to that, so that's where the economics are, and also we're kind of driven there Jamie, just because cost of equipment is always rising, wages are rising, you just -- the place to take it out of its better utilize the fleet, and of course if you ever rent the fleet seven days a week, you have to hire armed guards to take money off the bank. So, we kind of get that and we do have locations that run every equipment, every day of the week. But, that's not the norm, but we know basically -- we know how to run at that level, so there's a lot of scheduling and things involved to run at a higher utilization level and most of our systems would facilitate that. So, what we're looking -- what little unknown here right now is the distribution of the fleet. Like I said, it's kind of creeping towards the center of the country and so, we're getting great utilization, but at a point we're going to get maybe too much in the center of the country and we won't have enough outflow and then, and so we have to be kind of careful there and selective where we're sending this equipment, and we're sorting through that as best we know how, it's just a constant process. So yes, we don't need to expand the fleet to do more business, that's what you saw here. Now, we kind of held fleet because your fleet can also be determined by how many trucks you sell. So, you saw truck sales were down so because the gain on sales were down, you saw that.
Jason Berg: Gain on sales for the quarter were up, that was from resale value. The actual number of units sold was down.
Joe Shoen: Was down and so that way you can kind of call it grow at the bottom end of the fleet, and so -- and we have some flexibility there in sales. We've been blessed by a good sales team and the country has been prosperous for the 10 years or so and our consumer for our sale truck is usually a small business or an entrepreneur, so when those people are thriving we have a ready market to sell our equipment into. So, we have kind of postponed some of those sales and we're going to regulate that as best we can, even geographic. So, for instance two people called me last week, one to buy trucks in Los Angeles, while I'm sure they did, with my guys still a truck in Los Angeles I ain't going to be upset because we ought to rent the damn thing, even if it's a little bit high mileage, even if it isn't perfect, we got to rent it because they're enormous demand there. But on the other hand, if my guy in Nebraska sells a few extra trucks, I am going to send him an ADHOY [ph] so there's a lot going on inside that we have a pretty good idea of what it is and we're going to try to manage it to increase fleet utilization. You also saw, I think, Jason said we upped our number of centers and upped our number of dealers in the first six months of the year and that goes against workload the utilization, you see because the more places you spread the equipment, it's harder to get good utilization. So, to get good utilization and also see an increase in locations I was pleased with that. I think that's us operating well. We're not always -- we have not always done as well on that, but that's -- if we open the right locations and get the right equipment to them we can hold or increase utilization while we're expanding convenience to our customers.
Jamie Wilen: Got it. And October did you mention that it's continuing going to double-digit pace of increase?
Joe Shoen: I'll let Jason pick that.
Jason Berg: Yes.
Jamie Wilen: Okay. On the self-storage side Jason in the past -- historically, you've given some numbers on the occupancy rates for those -- for our mature stores, do you have those as well?
Jason Berg: Sure. So, the last couple of quarters I've given what a competitor same-store calculation would look like for us, so locations that have been at 80% for two years in a row, so the occupancy at those locations this year is about 93.2% that same group of facilities last year was about 92.3%
Jamie Wilen: Excellent. The state of the self-storage industry seems incredibly healthy and last week, there were a couple of transactions that were at incredible prices per square foot. When you see those numbers, and obviously it points to how undervalued our self-storage operations are, but do you get -- we would could sell some of our self-storage that are mature that we could get a full price on, so we could accelerate the development of other self-storage?
Joe Shoen: I don't see us doing that. What we do presently, as we basically put them into CMBS or some of the long-term financing and take that money and reinvest it, so you take a little haircut every time you do that compared to a straight out sale. Let's just argue and so you take 30% to 35% haircut in case realized Jason.
Jason Berg: Yes.
Joe Shoen: Something like that. But we still have the asset, the asset is still producing income, the very next day it's producing income. I don't know exactly how to calculate the haircut, so that's the way you should expect to see us going ahead. We're actually in our own minds thing we're more in trying to buy more self-storage than not. You mentioned there was a couple of transactions I'm familiar with the simply with what -- I'm not sure of another one, I'm not sure what you're talking about.
Jamie Wilen: There was the BlackRock and the results so I believe you bought some in New York affiliate or?
Joe Shoen: Yes, I don't know much about the Storage Deluxe the transaction at all. As far as BlackRock they probably bought that at the best price it could be achieved. So, it's hard to say. It looks, an astronomical price I always wonder. It seems every time I go to buy something it's astronomical, but so -- but the little bit I know about the BlackRock organization is they probably dealt pretty hard and probably about that at the best price that was going to trade at. I don't think they were suckered or anything or bought ones with good too -- to my knowledge. So it was -- they got a real good price that I think those properties -- a lot of those properties are traded three times in 10 years. Is that correct, Jason?
Jason Berg: Yes
Joe Shoen: So, and every time they've traded they traded at a gain. So...
Jamie Wilen: Got you. But Joe, when I wrap those numbers around, our self-storage operations, you get that our self-storage was several hundred dollars per share more than what we carried it for -- not that we're selling it, but that's an incredible number.
Joe Shoen: Yes, we're building a base of value here that should allow us to project into the future aggressively. These markets are vast Jamie -- I mean they're vast. If we have got a position to make a real move, you see, that may come into play and allow us to take an action and nobody expects. We don't have anything like that on the burner, but obviously we have some value there and we need to try to help our shareholders appreciate.
Jamie Wilen: Would we have a one-day break at the self-storage business, it's a tremendous cash flow business but obviously there is a significant amount of depreciation and very little in the way of any capital expenditures. So, on a profit basis it's not nearly as impressive as on the cash flow basis. Could we ever break it out so we could see those numbers of how profitable those guys are on a cash basis?
Jason Berg: Jamie, this is Jason. Right now we don't have any plans to do that.
Jamie Wilen: Last two things U-Box volumes you mentioned was strong, could you give any percentages?
Joe Shoen: Yes. Sam is here, Sam runs that. Maybe you want to speak to that? What's the increase going on in U-Box in percentages.
Sam Shoen: Sure. My name is Sam Shoen I'm the program manager for the U-Box product line. We've seen performance relative to U-Move with about 10% more on top of what you've seen with U-Move. I'd rather not give more specific than that, but we've seen exciting performance, it's continuing into October and I think we were performing I would have characterized as performing well pre-COVID I'm extremely excited to see how we're performing in the middle of COVID and I'm expecting it to continue to post-COVID.
Jamie Wilen: The operating margins on U-Box, how would you compare it to the U-Move business?
Jason Berg: Jamie, this is Jason on that it's all kind of pro forma how you decide to do it internal -- financial statements, but it's very close. We've had some quarters it's outperformed other quarters just within a couple of percentage points, so it's very close and it's all a game of how much -- how we decided to allocate overhead costs.
Jamie Wilen: Got you, and lastly the products and services, you sell as an adjunct for self-moving was up 33%. I would assume that's a higher margin business than anything else we do?
Jason Berg: You can track the margin on that because if you take the retail sales line and the cost of goods sold line, those two are directly attached to each other. So if you look at the contribution margin between those two, you'll get a sense of that.
Jamie Wilen: Excellent quarter. Well done managing the business. Thanks fellas.
Joe Shoen: You bet. Thank you Jamie.
Operator: We'll go next to Craig Inman from Artisan Partners.
Craig Inman: Hey, on the revenue growth can you talk about -- I know it's hard to get an average, but can you talk about the split between transaction and pricing changes just because you're seeing some the way the shift in the trucks from coast to inland is creating some pricing tailwinds to?
Jason Berg: Craig, this is Jason -- to split that up a couple of different ways I would say that a little more than a half of the increase is coming from the one way business between in town and one way a little -- about half of that is coming from transaction increases.
Craig Inman: Okay. Split half and half. Okay, on the -- I'll ask a technical question. The prepaids in the Q, it's discussing about a $380 million refund on taxes, how much is that the number that's outstanding still?
Jason Berg: So, yes. So we have received I believe it's around $110 million of our refunds. We have $123 million pending with the IRS right now and then we have an estimated amount for our fiscal year 2020 return that we have -- we are about to file, but haven't yet filed.
Craig Inman: Okay. And that goes into that $380 million number that you'd expect to receive?
Jason Berg: Yes. Those are taxes we've already paid that we would expect to get back.
Craig Inman: Okay. And that's booked in that prepaid number on the balance sheet?
Jason Berg: Correct. That got upon the passage of -- I think it was the Cares Act that was when we reclassified that amount, out of the tax provision.
Craig Inman: Okay. One more on the senior mortgages, a little over $2 billion there with, I think a little over 4% interest rate obviously that's come down a lot. Is there much wiggle room or would you ever try to extend duration and bring rate down?
Jason Berg: Well, on our new deals Kevin Hart is or Assistant Treasurer in charge of Real Estate Finance. He has a couple of deals outstanding now and I think our -- the most recent CMBS deal pending we're looking at a rate that will probably come in under 270 for a 10-year deal. Otherwise, typically what we do to answer your duration question is that, we'll find -- we'll do temporary financing on the property within its first five years of life, then we'll typically look to do a 7 to 10-year deal for the first portion of its stabilized life and then after that we'll look to do something that maybe 20 year plus, so at a certain point, all of this new development is going to work its way through that process and we'll start to do some longer-term financing on those properties.
Craig Inman: Okay. Okay. I guess I'll ask on -- obviously if you look at the six months results you have a little bit of gain in revenue -- looking more the moving and self-storage business and a little bit of decrease in and operating costs. But in this 90-day period, you had a massive gain in revenue and no real jump in operating costs and can you talk about how much you think you can leverage there, because I want to get a better picture of -- a lot of -- I mean it is utilization-driven, but how do you pull it off. I mean, is there more to -- is there is that just a phenomenon of 90 days or is this more like hey, if we get this revenue growth you can expect the cost to stay low and we can leverage off of them?
Jason Berg: Craig, it's a little bit of both. We have some trailing costs that we're incurring right now that aren't showing up on the income statement, and that's largely in repair and maintenance, right. So, we have these trucks that transactions are up 10% plus at some point now we're going to have the preventative maintenance checks on those, when they come back in and we're going to have those during the time of the year that we don't normally have those right. So the comparison year-over-year on maintenance expense, probably we're going to see that come up a little bit, but on the other portion of the U-Move revenue increase that isn't transaction based that's largely operating leverage, right and on personnel expense, that was the other -- I mean really the majority of the margin improvement came from keeping a lid on personnel costs and then keeping a lid on repair and maintenance costs. I think the personnel one we have the opportunity to continue to contain that a bit and we will see repair and maintenance come up a bit, but there is certainly a good opportunity over the last six months of the year to continue to accrete some margin improvement from repair and maintenance.
Craig Inman: Okay. Yes, so the people running the stores, you don't need to -- they can get more efficient, you don't need to bring more folks in there and drive costs out, if more business is coming their way.
Joe Shoen: It's possible. You know it's a statistic question, so whole bunch of small things, it's a service business. Like anything, any other operation you can -- there are more efficient ways to do things -- best practices and as we get more uniform implementation of best practices, they become basically by definition more efficient. Now, at the same time for the last six months we've been saddled with this COVID sanitizing which is a huge effort, and I can't under -- I don't want to underplay it, but huge effort is ongoing. I don't know if Jason has a guess of what we spend he doesn't have to guess, but it's a lot because basically the customer expects the truck sanitized and that's a little bit easier said than done. It's not a miracle spray that we point them through the window. It's a whole bunch of wiping and scrubbing and this is all done by human beings. So, that's hurt our efficiency in fact, and so I'm very impressed with the force we have out there, at the point of sale that they were able to hold as well as they did on total costs to accomplish this work.
Craig Inman: So in that light to OpEx is even better than it appears?
Joe Shoen: Yes, that's what I would say -- I'm real proud of what they've done. I would much rather -- we didn't have this disinfection or whatever you want to call a sanitization thing going on, because it just -- it just wastes labor at ever turn. I shouldn't say waste, at every turn consumes labor and you have to pay for labor that's all and of course we want to actually see people get paid more, that would be our objective. Our big objective in trying to drive efficiency here, Craig is to be able to pay better. We have a lot of entry-level people. Prior to COVID President Trump has driven the economy toward entry-level people we had to compete for them. Now, it's kind of exciting and that means they get paid better, and I've got a lot working for me, I'd like to see them paid better and not worse. But to pay them better, but I got to make them a little more efficient. COVID set me back there, but if I didn't have COVID there may be more margin in payroll to pay the individual person more per hour, and I think all of this is Americans are 100% more for people at the entry-level getting a better income. So these things are all kind of intention and push on each other, but the last six months we did well and we're trying to do well going ahead.
Craig Inman: That's great. Then the self-storage, obviously the development a little bit slower in terms of square footage added, how much of influence there is just building costs changing with your backlog, is there -- is that going to slow development in terms of what you can pencil out to get a return?
Joe Shoen: Probably not in the short run. I mean I think that there's a lot of pressure -- construction costs are I think -- I don't have a metric up but they sure seem to me like rising faster then the rate of inflation that's talked by the Fed So, and there's been a shortage of people, so they've had the same problem to the contract to produce framers or concrete layers -- they can produce the people to get work done, so you pay a little bit more and maybe it just takes longer that's all. So we've seen a lot of delays caused by inability [indiscernible]; so I don't know what the office industry is I'm hoping it slows down construction, frees up some people our contractors could hire.
Craig Inman: Last for Jason. So it looks like you'll bought $13 million in preferred issues, was that in the insurance -- I saw in the Q -- is that in the insurance business?
Jason Berg: Yes. That was at our property and casualty subsidiary.
Craig Inman: Okay. Can you talk about why you targeted that instead of equities or just the mindset there?
Jason Berg: Well, we already have a pretty decent portfolio of common stocks over there, I think it's about $17 million at cost. The preferreds -- mostly these are I think are perpetual preferreds -- they fit the long-term liability stream that we have over there, as well as we have some excess capital over there as well, so that it was a yield enhancement decent credit and it helps enhance the yield a bit and also note during the quarter, AM Best upgraded our P&C company Repwest from an A minus to an A-rating. We're pretty excited about that. Oxford our life insurance companies is an A minus and we would expect that they would also be an A rated company in the near future.
Craig Inman: And were those discounted preferreds -- those weren't like new issues that were coming out -- those are open market?
Jason Berg: I don't believe so. I'd have to go back to look at the list, I don't remember off the top of my head.
Craig Inman: Okay. I know it's a pretty technical questions. Okay, that's all from me. Thank you.
Operator: And no questions holding, I will turn the conference back to management for any additional or closing comments.
Jason Berg: Thanks, Jesse. Many of you may have noticed the absence of someone on the call today. We were recently notified that Ian Gilson with Zacks Investment is retiring. I think we all wanted to say that we appreciate the time and effort that Ian put into following you all over the years. I know that I started doing these calls in 2005 and he was following us even both before then. His knowledge, insight and understanding of our business has really enlightened countless new investors and his presence is going to be missed here. God bless, Ian. We look forward to speaking to everyone again for our third quarter in the first week of February. Thank you.
Operator: Ladies and gentlemen, that will conclude today's call. We thank you for your participation. You may disconnect at this time, and have a great day.